Operator: Good day and welcome to the Wyndham Hotels & Resorts Third Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Matt Capuzzi, Senior Vice President of Investor Relations.
Matt Capuzzi: Thank you, operator. Good morning and thank you for joining us. With me today are Geoff Ballotti, our CEO and Michele Allen, our CFO. Before we get started, I want to remind you that our remarks today will contain forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. These risk factors are discussed in detail in our most recent annual report on Form 10-K filed with the Securities and Exchange Commission and any subsequent reports filed with the SEC. We will also be referring to a number of non-GAAP measures, corresponding GAAP measures and a reconciliation of non-GAAP measures to GAAP metrics are provided in our earnings release, which is available on our Investor Relations website at investor.wyndhamhotels.com. We are providing certain measures discussing future impact on a non-GAAP basis only, because without unreasonable efforts, we are unable to provide the comparable GAAP metric. In addition, last evening, we posted an investor presentation containing supplemental information on our Investor Relations website. We may continue to provide supplemental information on our website in the future. Accordingly, we encourage investors to monitor our website in addition to our press releases, filings submitted with the SEC and any public conference calls or webcast. With that, I will turn the call over to Geoff.
Geoff Ballotti: Thanks, Matt and thanks everyone for joining us this morning. We are pleased to report another strong quarter, where we delivered $191 million of adjusted EBITDA and generated nearly $100 million of free cash flow, demonstrating the continued resiliency and consistency of our business model while returning over $160 million to shareholders bringing our year-to-date capital return to $400 million or 5% of our market cap. Global RevPAR grew 12% to last year, finishing 11% above 2019 levels. Here in the United States, RevPAR for Q3 ran 250 basis points higher than last year’s record third quarter and finished 10% above 2019, the highest absolute quarterly RevPAR ever recorded for our brands. Year-to-date, U.S. RevPAR closed the quarter 15% ahead of 2021 and 8% ahead of 2019. And for the first 3 weeks of October, demand for our brands has continued to accelerate with U.S. RevPAR up 9% to prior year, driven by both rate and occupancy gains. Internationally, RevPAR ran 46% ahead of last year and 17% above 2019, driven by our EMEA, LATAM and Canada regions, which all generated RevPAR well in excess of both 2019 and 2021 levels. International occupancy, which improved from down 23 points last quarter to down 16 points this quarter to 2019 levels. We will continue to provide a meaningful tailwind for us in the coming quarters as demand continues to grow overseas. Our select service franchisees here in the United States were among the first in the industry to see their businesses fully recover from COVID last year. While the majority of these small business owners have said that 2021 was the best year they have ever experienced financially, most of them are again telling us that 2022 will be an even stronger year than last year from a revenue and margin standpoint despite the broader macroeconomic climate. As our results to-date are demonstrating, we have seen no signs of any slowdown here in the U.S. The seasonal occupancy declines that historically occur heading into the fall, have been significantly less pronounced than in years prior to the pandemic. On the leisure front, we continue to see year-over-year double-digit increases in our web traffic and booking windows continue to increase compared to 2021. And on the business front, our weekday occupancy was the highest on record for the month of September as we continue to capture new infrastructure-related accounts. As we look beyond 2022, infrastructure bookings represent a significant tailwind for our business as more projects commence and construction ramps up on the largest public work bill signed into U.S. law in 70 years. We grew net rooms by over 4%, including 80 basis points due to the acquisition of our 23rd brand, Vienna House by Wyndham, which added over 40 hotels and more than 6,400 rooms under long-term franchise agreements, predominantly in Germany. This high-quality and accretive brand was acquired from an institutional developer and a current owner of other Wyndham-branded hotels, who continues to grow its European network of – by Wyndham brands. Our team in Europe is looking to expand the size of the Vienna House portfolio over the next few years as we plug the brand into our strong European infrastructure and distribution network. Excluding Vienna House, we grew net rooms organically by over 3% and this was the first quarter since the pandemic that all of our regions around the world returned to positive sequential net room growth. We opened some spectacular new hotels this quarter. Here in the United States, where we opened more rooms than we opened in Q3 of 2019, we welcome the Grandover Resort & Spa, one of North Carolina’s best golf and meeting destination resorts to the Wyndham Grand family. We were also very proud to open our latest La Quinta Del Sol prototype, the new all construction, La Quinta by Wyndham outside of Denver, Colorado. Internationally, we opened more rooms than we did in both Q3 of 2021 and back in the third quarter of 2019. In Latin America, where we grew net rooms by over 25%, we opened 10 more luxury registry collection hotels with the Palladium Hotel Group, adding 5,000 rooms across the Dominican Republic, Jamaica, Mexico and Panama. Our China direct franchising business grew its system size by another 8% with new Days Inn Microtel Wyndham Garden, Wyndham Grand and half a dozen new Ramada by Wyndham Hotels opening across the country despite the sporadic lockdowns and travel restrictions. And our EMEA region grew net rooms organically by 9%, with impressive new additions like the 425 room trademark collection Frankfurt Airport, the luxurious Wyndham residences on the Palm in Dubai and the new 5-Star Wyndham Grand Doha, West Bay Beach Hotel with its multiple spa, restaurant and pool facilities in the heart of Qatar’s financial district. We grew our development pipeline by 10% to a record 212,000 rooms and over 1,600 hotels. Notably, we awarded another 48 Project ECHO new construction extended state contracts this quarter to establish developers and experienced extended stay operators bringing the total number of contracts awarded to 120 hotels in just 6 short months. We had our first Project ECHO ground break in September in Plano, Texas with Gulf Coast Hospitality who is committed to build 25 new construction Project ECHO hotels. And next week, Michele and I will be visiting Virginia for the first ground break of Sandpiper Hospitality’s 27 Project ECHO hotels that they have committed to build. Our record development pipeline marks the ninth consecutive quarter of sequential pipeline growth as we awarded 120 new contracts in the United States and approximately 95 contracts internationally, which in total account for more than 30,000 new rooms. Year-to-date, our teams have signed over 565 new contracts, which is nearly 3 contracts awarded each and every business day. The number of contracts signed was 42% higher than what we awarded last year and 47% higher than in the third quarter of 2019. In the United States, we signed 114% more contracts than we did in 2019. The year-over-year signings of our cost-efficient new construction prototype have increased approximately 40% above 2019, the percentage of our pipeline that we have poured new foundations for new construction increased 250 basis points compared to this point last year and we have more new ground breaks planned for the remainder of 2022 than we did in both Q4 of 2021 and in Q4 of 2019. Our award-winning Wyndham Rewards loyalty program has been recognized as the best hotel loyalty program for the fifth consecutive year by the readers of USA Today along with the Wyndham Rewards earner card as its best hotel credit card. Total Wyndham Rewards membership grew 8% over the past 12 months and now stands at over 97 million members. Revenue generated in the U.S. from direct bookings on our brand.com sites grew over 10% in the quarter compared to 2021, outpacing the rate of growth across all third-party channels driven in large part by the Wyndham Rewards loyalty program with nearly 50% of all U.S. guests, representing Wyndham Rewards members. As our wyndham.com channels hit an all-time record of contribution, third-party OTA channels as a percentage of total bookings remain below 2019 levels. Our commitment to encouraging diverse hotel ownership continues to grow. Next week, BOLD by Wyndham, which stands for black owners and lodging developers will co-host a black hotel ownership symposium with our inaugural member at his mixed-use development project in Atlanta, Georgia. We have designed this educational event to help black entrepreneurs get started on their journey to hotel ownership. And interest in BOLD, along with Wyndham’s Women Own The Room program continues to exceed our expectations, with over a dozen BOLD hotels and over 20 Women Own The Room hotels now in our development pipeline. From a sustainability perspective, we are very proud that Google is now displaying Wyndham Green-certified hotels with its eco certification badge when searching for accommodations. We are one of only two hotel programs that Google is recognized for this certification. Additionally, we added search functionality this quarter so that our guests can easily identify Wyndham Green-certified hotels on our brand.com websites and mobile app. With our franchising business performing at record levels and our brands attracting more interest than ever from owners and developers, we are confident in the continued stability of our franchise business model and its ability to deliver outstanding value to our franchisees, our customers and our stakeholders in any environment. This confidence allowed us to raise our full year outlook, which Michele will now cover in further detail. Michele?
Michele Allen: Thanks, Geoff and good morning everyone. I will begin my remarks today with a detailed review of our third quarter results. I will then review our cash flows and balance sheet, followed by an update to our 2022 outlook, as Geoff mentioned. During the third quarter, our fee-related and other revenue was $375 million and our adjusted EBITDA was $191 million. As mentioned on our second quarter call, our year-over-year results are not comparable due to the sale of our two owned hotels and the exit of our select service management business in the first half of this year. In an effort to simplify our results, my commentary today will again be centered around our segment performance. Our Franchising segment grew revenue by 9% year-over-year, primarily reflecting constant currency global RevPAR growth, up 12% and higher license fees. Adjusted EBITDA increased 4% to $201 million as the revenue increases were partially offset as expected by the timing of higher marketing spend in the quarter, which unfavorably impacted margin by 270 basis points. Excluding this timing impact, our adjusted EBITDA grew 12% in the third quarter and the adjusted EBITDA margin was consistent with prior year. In our Hotel Management segment, revenue and adjusted EBITDA declines reflected the sale of our select service management and owned hotel businesses, which collectively contributed approximately $34 million in revenue and $10 million in adjusted EBITDA last year. Within our corporate and other segment, we saw $2 million of higher expenses due to inflationary cost pressures as expected and a reflection of the current environment. Adjusted diluted EPS improved 4% to $1.21, reflecting our adjusted EBITDA growth in the Hotel Franchising segment as well as a benefit from our share repurchase activity. This was partially offset by the aforementioned sale of our select service management business and owned hotels. On a comparable basis, excluding these impacts and neutralizing for the time differences in the marketing funds, adjusted diluted EPS increased 14%. Before moving on to free cash flow, let me take a moment to discuss current regional RevPAR performance and the tailwinds we see moving beyond 2022 with occupancy not yet back to pre-pandemic levels. As Geoff mentioned, global RevPAR continued to surpass 2019 levels this quarter by 11%, led by U.S. RevPAR of 110% of 2019 and international at 117%. This was the first quarter we saw international RevPAR surpass 2019 levels, reflecting strong recovery across Europe and considerably stronger pricing power. ADR in all regions exceeded 2019, with global ADR up 10%. Occupancy, however, still has room to recover across the globe. In the U.S., occupancy reached 96% of 2019 levels, in EMEA, 93% and in China, 72%. Overall, global occupancy improved to 91% of 2019 levels, again, illustrating significant room for continued demand recovery in pre-COVID levels. Now, turning to free cash flow. We generated $97 million during the quarter and $321 million year-to-date, an increase of 6% compared to 2021. Our year-to-date free cash flow conversion rate now stands at 61% and we remain well on track to achieve our targeted 55% conversion rate. We returned $161 million to our shareholders during the third quarter through $132 million of share repurchases and $29 million of common stock dividends. When coupled with the $44 million of cash used to acquire the Vienna House brand, the $205 million of excess cash deployed this quarter was 20% higher than the second quarter. Year-to-date, we have returned $400 million of capital to shareholders, which as Geoff mentioned, represents approximately 5% of our market cap. As always, our first priority is to reinvest in the business and we actively explore both external and organic growth opportunities. The Vienna House acquisition is an example of the type of small tuck-in deals we are targeting asset-light in the higher chain scale accretive to earnings and a brand with an ability to grow in existing and adjacent markets. Moving into 2023 and subject to Board approval, we expect to continue to maintain our industry leading dividend payout ratio and share repurchases will continue to be an integral element of our capital allocation strategy. Earlier this week, our Board increased our share repurchase authorization by $400 million, reflecting its confidence in the business’ ability to generate substantial cash and its continued commitment to shareholder return. We ended the quarter with approximately $1 billion of total liquidity and our net leverage was 2.7x. Our ending cash balance of $286 million is above our normal levels due to the portion of the proceeds we received from the select service management and owned hotel sale transactions that have yet to be deployed. Excluding this excess cash, our net leverage was 3x at the low end of our stated target range. Importantly, only 20% of our long-term gross debt is variable rate, limiting our exposure to the rising interest rate environment. Despite the broader economic climate, deleveraging or building excess cash on our balance sheet are not considerations. Given the highly cash-generative nature of our business model, our current liquidity profile and the resilience of our demand drivers as demonstrated throughout prior down cycles. Now turning to outlook, we are raising our full year 2022 as follows. We now expect year-over-year global RevPAR growth of 14% to 16% and global net room growth of approximately 4%. Fee-related and other revenues are expected to be $1.33 billion to $1.34 billion, an increase of $34 million from July’s outlook, reflecting the higher RevPAR and net room growth expectations. Based primarily on the strength of global RevPAR trends, we expect our marketing reservation and loyalty funds to contribute approximately $20 million to adjusted EBITDA compared with our previous outlook of $10 million. These changes combined for an increase of $19 million to our adjusted EBITDA expectation, which is now projected to be $636 million to $644 million. We expect adjusted net income of $349 million to $354 million, $23 million higher than our prior outlook. And our adjusted diluted EPS expectation increases $0.30 per share and is now projected to be $3.84 per share to $3.89 per share based on a diluted share count of $91 million, which as usual excludes any fourth quarter share repurchases. There is no change to our prior outlook for our free cash flow conversion rate of approximately 55%. As a reminder, looking towards 2023, we have provided two slides in our investor presentation to help with your modeling. Slide 33 provides the historical financial impact of our select service management business and owned hotels, which will need to be adjusted from your base. And Slide 35 provides revenue sensitivity. In closing, our third quarter results once again demonstrate the resiliency and strong cash flow capabilities of our business model. We are deploying our available capital in a disciplined fashion to drive growth in the business and increase shareholder returns, which we believe an asset light business such as ours. With our low leverage, the extension of our $750 million revolving credit facility earlier this year and no maturities until mid-2025, the strength of our balance sheet provides us with tremendous flexibility along with the means to continue to fund strategic growth initiatives over the coming years. With that, Geoff and I would be happy to take your questions. Operator?
Operator: [Operator Instructions] We will take our first question from Patrick Scholes of Truist Securities.
Patrick Scholes: Hi, good morning, everyone.
Geoff Ballotti: Good morning, Patrick.
Patrick Scholes: Good morning. Regarding your full year earnings guidance range, how should we think about how much of that is from you beating your internal expectations for 3Q? And is any of that from a 4Q organic raise versus prior expectations? Hopefully, that makes sense.
Michele Allen: Sure. Good morning, Patrick. We raised our full year guidance by $19 million and versus our internal projections, this represents about a $12 million beat in the third quarter and a $7 million race to our fourth quarter expectations.
Patrick Scholes: Okay, thank you. So a small organic in the fourth quarter. Next question. On the purchase of the Vienna House brand, can you provide an EBITDA multiple for that?
Michele Allen: Yes, sure. I believe I believe we – I believe the EBITDA multiple was calculated based upon a $44 million purchase price, and it’s going to generate about $4 million of EBITDA on a stabilized basis for 12 months.
Patrick Scholes: Okay, thank you. And then just last question for Michele, I’ve noticed as the year progressed, your expectations for the SBC stock-based comp going down. In today’s environment, we don’t see a lot of costs going down. I’m wondering what’s driving that something that’s accounting-wise. I wonder if you could just give some color on that. Thank you.
Michele Allen: There is here is a bunch of different accounting in there based upon how we recognize the expense between the time vested and the performance tested portion. And then obviously, it would reflect attrition as well.
Patrick Scholes: Okay. Was there any major attrition that you’d want to call out that was significant in driving that?
Michele Allen: Nothing material or, I think, important to highlight.
Patrick Scholes: Okay. Fair enough. That’s it for me. Thank you. 
Geoff Ballotti: Thanks, Patrick.
Operator: Thank you. Our next question comes from Joe Greff of JPMorgan.
Joe Greff: Good morning, everybody.
Geoff Ballotti: Good morning, Greff.
Joe Greff: Geoff, Michele, given just general momentum in your development pipeline with that nine quarters of sequential development pipeline growth, momentum in Project ECHO, strides and retention rates, things like Vienna House, do you think going forward, the net rooms growth floor target is closer to 4% than it is to 2 percentage point?
Geoff Ballotti: We’re not giving guidance on the call, Joe, but certainly, given how healthy our pipeline, our pipeline has never been healthier, and it was just explosive, obviously. In the quarter year-over-year, we’re feeling very good about where it sits and where we’re headed. I mean this – what our teams have put up not only with, to your point, the Echo growth, which has just been off the charts in terms of expectations, but also from so many of our prototype brands. There has been a fear that new construction is slowing. We’re certainly not seeing that from the demand in our new construction prototype brands, I mean, we’ve seen – aside from Echo, we’ve seen great growth on just across the board, our Moda prototype when we look at where it was versus this time last year and our pipeline up 12%, our Wyndham Garden up 20%. We’ve talked a lot about our Hawthorn Suites and our La Quinta brand, which is up – sits at almost 30% over where it was this year. So we’re very confident in terms of our net room growth this year and where we could move it in the future and just thrilled with what’s happening with the pipeline.
Joe Greff: Great. And then just following up on Project ECHO, obviously, you have 120 products in the pipeline, maybe more than that, given that we’re in October. What do you going to get to in 2 to 3 years? And maybe the way to answer it or to think about answering it is what Wyndham brands you benchmark it against in terms of penetration opportunity? And following up on Project ECHO, when do you think you start to do single developer, single development deals?
Geoff Ballotti: Well, all great questions, Joe. We’ve reached multiunit development agreements with seven of the nation’s preeminent extended state developers. And that’s providing a runway over the next 5 years for the brand to have over. As we’ve said, what we’d hope to have this year, 100 pipeline by the year-end, we’re now at 120, as you say, we’re still signing deals. We had our first groundbreak as we talked about in Plano and another ground break next week. We will exit 2022 with at least four hotels in the ground and that really laying the foundation for those first hotels to open late next year, less than 2 years from when we announced it. So we expect to accelerate the time line and seeking out those individual owners that you’re asking about. We would expect that by mid of 2023, Chip Olson and David Willner will expand it to the rest of their development team. And yes, we will be on our way. It’s to benchmark it against other brands. It’s tough to do. The extended stay demand is just off the charts. I mean we’re seeing a 13-point year-to-date delta between what extended today is running occupancy-wise and what the rest of the industry is rising. That’s a big piece of this. And yes, we’re just thrilled at what we’ve seen so far.
Joe Greff: Great. And then maybe one more final up quickly for Michele, when you think about buyback going forward, is it really using the excess cash and internally generated free cash flow to buy back stock? Or would you actually lever up to buy back stock?
Michele Allen: I think it is the former at this point in time, given the current interest rate environment. We aren’t inclined to lever up above our stated range without a compelling reason to do so. So obviously, we had a good use of proceeds, something we would clearly consider.
Joe Greff: Thank you, guys.
Geoff Ballotti: Thanks, Joe.
Michele Allen: Thank you.
Operator: Thank you. Our next question comes from David Katz of Jefferies.
David Katz: Hi, good morning, everyone. Thanks for taking my questions. So, look, a couple of issues that come up, just broadly speaking about Wyndham. One, the sort of outlook for leisure travel and what your exposure to that is particularly in the moderate and lower end segments? And second, exposure to China and/or Asia, broadly speaking, and whether either of those pose a risk to your earnings cadence. And I’d love to have you just talk about those a little bit. I think it would be helpful.
Geoff Ballotti: Yes. Two great questions. David, I’ll take your last question first, which is on Asia and specifically China, but we are incredibly proud of our Asia Pacific and our China teams given everything that they have accomplished and how well they are performing. It is not, in any way, shape or form an issue for us going forward. I mean the delivery consistently from these teams over the past few years, we’re very optimistic about the long-term prospects there. We’ve got 60,000 direct franchising rooms in the pipeline. Year-to-date, the team has opened about the same number of rooms as they opened back in 2019. And more impressively, the development team in China has awarded the same number of contracts year-to-date through the end of the third quarter as they did back in 2019. So as their conversion pipeline has doubled, as they have been successful introducing new brands to new markets across mainly China. And as they have been delivering consistently quarter in, quarter out, an 8% net room growth in our direct franchising business despite all the challenges last quarter. We are feeling very good about long-term, the prospects over there. In terms of the – you mentioned the lower end consumer. I mean we’re clearly middle class, as we talked about on the last call. But the demand that we’re seeing right now is just more robust than we would have ever thought possible. We’re seeing continued consumer demand. Our Google search volumes just keep increasing. They are up 30% to last year. Our holiday searches are just off the charts for Thanksgiving, for Christmas and for New Year’s. It’s consistent with everything the industry is seeing. The Duetto Pulse report out this week was forecasting robust holiday travel. That’s what we’re seeing. The leisure pickup for October, November, December is continuing to pace ahead of same time last year and back in August. Our web traffic is running double digits ahead of where it was back in ‘19. And our cancellation rates are down. Our booking windows, as we mentioned, were up. And I think all we need to do is look at October month-to-date through these first 3 weeks to see how this demand continues to accelerate with this mid-income, mid-scale consumer that stays in our hotels. We’re up consistently. September was the best occupancy that we’ve ever seen. And October month-to-date is up 19%, 9% over 2021 ahead of last year in both rate and occupancy. And it’s that way in all of our big states in Texas, Florida, California, Georgia, North Carolina occupancy is running well ahead of where it was not only back in ‘19, but last year. So I think guests who put off summer vacations in that segment are taking to the roads and record numbers, and we’re seeing that in our hotels. They are driving further than they ever have.
David Katz: Understood. Please.
Michele Allen: Yes, David, if I could just address the last part of the China question, which was our – the risk to our earnings cadence. I would say, as Geoff mentioned, we are super proud of everything the team there has accomplished. Despite their success, we are aware of the economic situation. We have a large team of locals there, and we’re in touch with them on a daily basis. The region in 2022 is generating less than 2% of our EBITDA.
David Katz: Understood. And if I can just throw one other matter out there for discussion around. Geoff, your comments on the loyalty program, we have seen across the industry where companies are generating fee streams and value outside of the scope of RevPAR from those membership bases. Is that an opportunity for you all short-term, long-term? And any thoughts here would be helpful, too. And that’s it for me. Thanks.
Geoff Ballotti: Sure. The best proxy David, for our loyalty program is the share of occupancy that it contributes nightly. And that occupancy is very important to our small business owners and our franchisees. And it’s up 500, 600 basis points to where it was pre-pandemic. I mean it was just, as we said, voted the number one hotel loyalty program in the world by U.S. News and World Report, and that’s for the fifth consecutive year by USA TODAY, and we’re really proud of that. But as it continues to grow in size, pre-pandemic, we’re in the 80s. We’re approaching, we believe we will hit our 100 million member this year at some point. We’re up 8% year-over-year and the program is up 25% to 2019, but the ability to drive that one out of every two check-ins domestically, into our hotels is what’s most important, and our teams are doing a phenomenal job and are very focused on continuing to see that share of occupancy for our owners, which is really our value proposition in terms of what franchisees are paying for in terms of direct contribution is what’s nearest and dearest to our hearts.
David Katz: Thank you. Please.
Michele Allen: We do see opportunities beyond just the occupancy. We are – we have a co-branded credit card with our loyalty program, multiple partnerships, and we are looking to continue to expand those partnerships to drive incremental value to our owners as well as incremental earnings to end.
David Katz: Okay, thank you very much.
Geoff Ballotti: Thanks, David.
Operator: Thank you. Our next question comes from Michael Bellisario of Baird.
Michael Bellisario: Thanks. Good morning, everyone.
Geoff Ballotti: Good morning, Michael.
Michael Bellisario: Geoff, just a follow-up to one of the last questions. Can you maybe sort of give us a time line or walk us through what you saw in July when you had tough comps domestically and then best for to September and month-to-date in October so far, that’s been much stronger. Where were the strengths? Where were the weaknesses? And if you could quantify how much of the updates may be coming from the infrastructure strength that you mentioned earlier?
Geoff Ballotti: Sure. Two great questions. We will start with what happened throughout the summer. And I think it goes back to what we said on our last call, we expected – and I think our owners expected that vacation season would not stop on Labor Day, and it certainly didn’t. I mean we’re seeing record-setting demand for this time of year. The month-over-month seasonal declines are significantly less than they were in years past, meaning that seasonal resorts are seeing no seasonality. Wyndham Newport, for example, I was talking to the team there, September occupancy, 8% ahead of last year was down a bit in July. October is 21% in occupancy ahead of last year, with RevPAR in both months, September and October, up 50% to 2019. And those big states, again, for us, are running well ahead of Florida, for example, which was up 19% to ‘19 was up 21% October month-to-date to last year, with ADR up 16% and RevPAR up 40%. I mean we’re seeing big states like Georgia significantly ahead in occupancy to prior year and RevPAR to prior year. So again, we think that guests to put off those summer vacations maybe because they just couldn’t find space, couldn’t find availability. The demand was constrained by just a lack of availability are picking it up and continuing into the fall, and we think that’s going to continue from a leisure standpoint going forward is with no more fear of COVID, which was one of the things we were worried about this time last year. Customers are looking to travel now more than ever. And we’re seeing it across the industry, whether it’s – the two big card companies they put out this data Mastercard spending Pulse survey, the lodging 20 consecutive months of growth has picked up from July. It was up 30%. And September, it ran 43%, significantly stronger than it did in July versus 2019. And I think Visa’s report out last night, they were pretty clear they were getting a boost from travel payments with no signs of any slowdown in consumer demand and the economy and the mid-scale space, we’re certainly not seeing it. From an infrastructure standpoint, to the second part of your question, I mean this was the third consecutive quarter where our infrastructure account spending increased double digit to 2019. I mean it is now running over 25% year-to-date. To just try to size how meaningful this is for our brands and our small business owners. If you recall, if you step back and you think about us versus many of our competitors, 70% of our business is leisure, which is very strong, 30% of it is business, but that business is different. It’s not white collar business travel. It is 70% of that 30% business mix is that infrastructure business. And those are the companies that are being contracted to repair our nation’s highways and bridges and ports. And it’s those companies who book these blue-collar workers into economy midscale lodging that is just so attractive for our brands and for our hotel owners. The Congressional Budget Office, the CBO was estimating that only $25 billion of the incremental infrastructure spending will be spent in 2022. They are estimating that, that outlay is going to triple in 2023 to $75 billion and then is going to run $100 billion, $140 billion and $175 billion in ‘24, ‘25 and ‘26. So, think about that. And this $550 billion that we are all reading about of incremental authorization spending is on top of the $650 billion of the regular reauthorized legislation, which gets us to the $1.2 trillion that’s in the news. So, significant tailwinds for our team. We are very excited about it. We are adding more sellers to sign accounts, and we think we are going to continue to win more bids and gain more mid-week domestic market share.
Michael Bellisario: Yes. That’s very helpful. And then…
Michele Allen: Michael, I will just add three quick points to that. First, September occupancy was the best we had on record. And second will be, we are still seeing this Sunday occupancies exceed 2019 levels, which is longer long weekends for leisure as well as some leisure mixing in there. And then third, the infrastructure accounts, as Geoff mentioned in his prepared remarks, were up double digits for the third consecutive quarter.
Michael Bellisario: Helpful. And then just sort of looking forward, not looking for guidance on ‘23, but as the calendar flips, how are you thinking about where the upside drivers might be? And then also where the downside risks might lie as well?
Michele Allen: When we think about the occupancy tailwinds for 2023 as well as the sustainability of ADR, not just in the U.S. but also internationally, we think about the recovery of business travel, although that’s a small piece, so that it is still – will be incrementally positive. For 2023, we will have some of our ECHO hotels opening and contributing something to 2023. And as well as the Vienna House. And then when we think about risk, we balance that out, obviously, with the macroeconomic trends.
Michael Bellisario: Helpful. Thank you.
Geoff Ballotti: Thanks Mike.
Operator: Thank you. Our next question comes from Dany Asad of Bank of America.
Dany Asad: Hey. Good morning everybody. My question on pipeline. So, how much of your pipeline growth that you saw that 10% in the quarter is from project ECHO? And I guess I will ask my follow-up and like how long would it take for that pipeline bump like the one we are seeing to turn into accelerating unit growth?
Geoff Ballotti: Again, I am not giving guidance, Dany, on the call, but this is the healthiest our pipeline has ever been. And it is the ninth consecutive quarter of sequential growth. The U.S. pipeline sequentially increased 7%. It increased 24% versus last year, and a significant piece of that was ECHO. But taking ECHO entirely out to your question, we still saw very strong growth, not only from ECHO, but growth from our other new construction prototype brands that I mentioned. We have just a record number of hotels in the pipeline right now, 1,200 hotels, up 17% from last year. And it’s been the brands I talked about a few questions back that have been driving that in addition to ECHO.
Dany Asad: Thank you.
Geoff Ballotti: Thanks Dany and good luck with baby number two we hear, weeks away.
Dany Asad: Thank you.
Geoff Ballotti: You got to keep up with…
Operator: Thank you. We will take our next question from Ian Zaffino of Oppenheimer.
Ian Zaffino: Hi. Great. Thank you very much. Michele, I know you mentioned this idea of longer weekends, more Sunday stays. Is that trend continuing? Is it accelerating, decelerating? Just any kind of color there would be helpful. Thanks.
Michele Allen: Yes. We do see it increasing and continuing to drive more leisure demand on Thursday, Sundays. And obviously driving overall occupancy as well as pricing, now that demand is higher on those weekdays.
Geoff Ballotti: Yes. That’s exactly right, Michele. And specifically, when you look at Sunday being our fastest-growing night, it’s up good 600 basis points over where it was back in 2019 levels. And as the booking windows continue to increase and we have more visibility, we think it will continue to grow.
Ian Zaffino: Okay. Good. Thank you. And then I know you touched on the infrastructure piece of it. If we look at the IRA [ph] and just the proliferation of EVs going on, does that open up a new revenue source for you? And what is franchisees doing now as far as charging the vehicles, putting in stations? And any color there would be helpful because I know some of the rental car companies are now looking at that as an ancillary revenue stream, the EV charging. So, I don’t know what you guys are thinking and how you are approaching this? Thanks.
Geoff Ballotti: It’s a great question, Ian, and it is on our list. It’s something we talk a lot with our franchise advisory councils. We were meeting with them a few weeks back. And it’s – it makes the top 10 list. We are partnering with some of the nation’s leading EV charging companies, and we have a series of models that we have offered to our franchisees. But it’s right up there with what they are expecting from a large sourcing company like ours. I mean it’s important. It could be measurable and it’s something that we are going to be very focused on in the years ahead.
Ian Zaffino: Okay. Thank you very much.
Geoff Ballotti: Thanks Ian.
Operator: Thank you. We will take our next question from Stephen Grambling of Morgan Stanley.
Stephen Grambling: Hey. Thanks for sneaking me in. Just following up on some of the questions regarding leisure. Can you parse out how the demographics of your leisure customer may be changing? In other words, are you capturing a higher end or different age base? And you also called out higher web traffic. Could you give a little more color on the other components of your distribution mix between OTA on property, GDS or other channels versus pre-pandemic?
Geoff Ballotti: Welcome back, Stephen, we missed you the last few calls. A few great questions there. What we are most – I think impressed with the marketing team, Lisa Checchio and her group are most impressed with is that we are seeing younger travelers continue to gain share on older boomers. Our share of next-generation travelers, the generation X, the Ys and the Zs, increased another 200 basis points in the quarter from 62% last year to 64% this year of check-ins. And so that is really important. We are seeing the average age of our Wyndham Reward members fall as the program grows. And we are seeing the medium income of our members increase as well from around $75,000 to $90,000. And that’s really, really important. And it’s a big piece of what is driving the share of Wyndham Reward check-ins we believe, and what’s making the program as strong as it is and as attractive as it is for our owners. From a contribution standpoint, Wyndham Rewards is the fastest-growing channel of contribution. It consistently runs ahead right now of where we were back before the pandemic, where we were last year. And we are seeing it run from a growth standpoint significantly ahead of third-party channels.
Michele Allen: And our contribution in the U.S. is up 140 basis points from 2019.
Stephen Grambling: Great. And one unrelated follow-up. I may have missed this. But Michele, how are you thinking about key money usage going forward based on the response that you have been seeing from the eye drop or loosening already? And should we anticipate this will go up as you continue to stand up the ECHO brand, or is it being used in other brands? Thank you.
Michele Allen: Thank you. We are really pleased with what we are seeing from a key money perspective. We are at the table today on deals that we hadn’t previously been invited to participate in. So, using the balance sheet to incentivize owners to our brands is really bearing fruit for us. I do expect it will – the allocation to key money will increase slightly as we move through the seating of the ECHO brand, but nothing that’s going to materially draw away from our ability to either invest in inorganic growth opportunities or capital allocation to share repurchase.
Stephen Grambling: Helpful. Thanks so much.
Michele Allen: Thank you, Stephen.
Operator: Thank you. Our next question comes from Dan Wasiolek of Morningstar.
Dan Wasiolek: Hey. Good morning guys. Thanks for taking the questions. So, thanks for all the color on the call around the occupancy and the improvement you are seeing there. Just kind of wondering, as kind of combining that with the infrastructure driver that you guys have. You mentioned that U.S. business occupancy in the weekday had maybe been improving. Wondering if you could maybe give where that occupancy for a weekday in the U.S. was this quarter versus last quarter? And then I guess my follow-up question is just any kind of – have you seen any incremental headwinds the last several weeks as far as the ability to get financing for people looking to enter your pipeline? And that’s it for me. Thanks.
Geoff Ballotti: Michele you are on mute.
Michele Allen: I am sorry. I started to answer and I was on mute. I apologize for that. On the financing side, we are not seeing any impact at this point in time. Our deals are mostly financed on the local or regional level with banks that our developers and owners have really strong deep relationships with. And so while we see obviously higher interest rates, we also know that the returns are still really very healthy. Actually, in our investor presentation, we have a slide, I believe it’s Slide 29, where you can see the owner returns and we adjusted those or a 6% cost of debt and the returns are really still in the high teens. And this is not the first time that we have seen volatility in interest rates and prior instances, we haven’t really seen a meaningful impact to our net room growth. I think what the market is looking for today is more stability in the rates, not necessarily a reversion to the prior interest rates. So, while higher rates are going to stress the ROIs, the blow is certainly softened by a healthy and sustained increase in ADR. And from an occupancy perspective in Q3, it was just about 60%.
Dan Wasiolek: Okay. And was that – do you have the second quarter number for that?
Michele Allen: The second quarter, give me two seconds and I will just grab it. 38% – 58%, I am sorry.
Dan Wasiolek: I am sorry, what was it?
Michele Allen: 58% versus 60% in the third quarter.
Dan Wasiolek: Yes. Okay. Very nice quarter, congrats guys.
Geoff Ballotti: Thank you.
Operator: Thank you. Our final question comes from Brandt Montour of Barclays.
Brandt Montour: Hey. Good morning everybody. Thanks for taking my questions. On the – and maybe you said this, Michele and I apologize if I missed it, but the approximately $20 million EBITDA full year – raised the full year guidance. You gave us the split between 3Q, 4Q, but the marketing incremental income from – or EBITDA from the marketing fund was about $10 million. So, just curious how much of that $10 million hit in the 3Q versus the 4Q?
Michele Allen: All of it hit in the third quarter.
Brandt Montour: Okay. Great. Thanks. And then just on the back of the comments on the infrastructure spending and the increase in tailwind that, that could be over the next few years. Just curious how you think about revenue management from the perspective of toggling between your capacity allocations between leisure and that contract business. So, I guess, the specific questions are, what are the different lead times for bookings between those two broad segments? And then is – are the rates embedded in that contract business dilutive to your overall ADRs?
Geoff Ballotti: Well, it could be dilutive to an overall weekend ADR. And that’s one of the things that we are working very diligently with our small business owners is to convince them that it’s better than an OTA, right. Especially as they approach peak occupancy. And realizing that this is solid long-term contracted business that they should be taking that they should be responding to the request for proposal, which you are coming in now and will continue to ramp up over the next few years. I mean look, our owners believe that whatever comes, they are still looking at a multiyear recovery ahead, and they need to look both mid-week, Brandt and on the weekend to your point, to yield and to yield up. I mean we are doing a lot from a tools standpoint. We have partnered with IDS [ph]. They are really the leading revenue management provider out there. And it’s available now to all 6,000 domestic hotels. To help them forecast more accurately and price more constantly, we want to make sure that they are using it and taking that mid-week infrastructure business that’s out there. I mean the one thing our owners are continually saying is that they wish they had more Wyndham hotel product based just on how well they are days in or [indiscernible] La Quinta performed throughout this pandemic because of those blue collar workers who are going to be picking up in the years ahead. I mean they are more optimistic now about the future I think than they have ever been. Their leverage is lower. They are much stronger and much better positioned, but they should be to your very good question, looking at all the businesses out there and yielding appropriately.
Brandt Montour: Great. Thanks so much guys.
Geoff Ballotti: Thanks Brandt.
Operator: Thank you. I will now turn the floor back over to Geoff Ballotti for closing remarks.
End of Q&A:
Geoff Ballotti: Well, thank you, Todd, and thanks everyone for your questions and for your interest in Wyndham Hotels & Resorts. Let me just summarize the quarter by saying that our teams again delivered sequential organic net room growth in all regions around the world as well as very strong growth in our development pipeline. Global RevPAR once again exceeded 2019 levels and occupancy continued its recovery, which we believe will provide U.S. mid-week to Brandt’s question and international tailwinds in the quarters ahead. And we would most importantly like to thank our teams who helped us deliver this top line revenue improvement across the globe and the strong free cash flow conversion from adjusted EBITDA that we saw this quarter and have seen all year. We remain very disciplined in our capital allocation, and we will record shareholder returns this year. Michele, Matt and I look forward to talking to and seeing many of you in the weeks ahead at some of the upcoming investor conferences. We would like to wish everyone a happy Halloween on Monday. Thanks again for joining us.
Operator: Thank you. This does conclude today’s Wyndham Hotels & Resorts third quarter 2022 earnings conference call. Please disconnect your line at this time and have a wonderful day.